Operator: Greetings, ladies and gentlemen, and welcome to Luvu Brands, Inc.'s Fiscal 2022 First Quarter Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. It is now my pleasure to introduce Ron Scott, the company's Chief Financial Officer. 
 Mr. Scott, you may begin. 
Ronald Scott: Thank you, Kate, and thank you to everyone who has joined us today for Luvu Brands' Fiscal 2022 First Quarter Conference Call. Joining me today is Louis Friedman, our Founder, President and Chief Executive Officer. 
 This morning, we filed our quarterly report on Form 10-Q for the 3 months ended September 30, 2021, and issued an earnings release that highlighted the company's first quarter performance. 
 There are a number of items that we look forward to discussing with you this morning, including Luvu Brands' financial results for the first quarter ended September 30, 2021, recent developments and Luvu Brands' operational activities as well as the company's near-term plans for the future. 
 At the conclusion of this call, we will be answering questions during a brief Q&A session. 
 Before we get started, I'd like to remind you that some of the information discussed today will include forward-looking statements regarding future events and our future financial performance. These include statements about our future expectations, financial projections and our plans and prospects. 
 Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the company's filings with the SEC, which includes today's press release. 
 You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements that we make on this call are based on assumptions and beliefs as of today, and we undertake no obligation to update them, except as required by applicable law. 
 Our discussion today will include non-GAAP financial measures, including EBITDA and adjusted EBITDA. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. A reconciliation of the most directly comparable GAAP financial measure to such non-GAAP financial measures has been provided as supplemental financial information in our press release. 
 Now with that completed, I'd like to start the call with a few words from Luvu Brands Founder and CEO, Louis Friedman. 
 Louis? 
Louis Friedman: Good morning, and thank you, Ron, and thank you, everyone, for joining us this morning. We are pleased with our first quarter results. We have net sales of $6.2 million, an increase of 16% over the prior first quarter, making our sixth consecutive quarter of profitability. During this first quarter, we took delivery of and installed a new fabric-cutting production line that's been reducing our product lead times, improving quality and lowering cutting costs. 
 Since over 90% of our net sales are through e-commerce channels, this new equipment allows us to be more reactive with our just-in-time manufacturing, enabling us to deliver a wider variety of products to our customers in reduced lead times. 
 For our foam-based products, our expanded roll compression equipment doubles our production capacity, while helping to offset rising freight and delivery costs. We are fortunate to be a U.S. manufacturer. This has allowed us to avoid many of the supply chain and shipping container shortages faced by competitors relying on offshore manufacturing. 
 I'll now turn the call over to Ron Scott, Luvu Brands' Chief Financial Officer, to summarize some of the financial highlights of the first quarter fiscal 2020. Ron, please go ahead. 
Ronald Scott: Thank you, Louis. I'll briefly touch on some of the financial highlights from the first quarter of fiscal 2022. Net sales increased 16% to a first quarter record of $6.2 million compared to $5.4 million in the same year ago quarter. Sales of Liberator products increased 36% to $2.7 million from $2 million in the prior year. Jaxx product sales totaled $1.9 million, up 10% from $1.7 million in the first quarter of the prior fiscal year. Avana products decreased 23% to $744,000 from $960,000 in the prior year. This was mainly attributed to manufacturers' chemical allocations and supply shortages of memory foam. 
 Gross profit for the first quarter totaled $1.5 million compared to $1.5 million in the prior year first quarter. Labor costs, raw material costs and transportation cost increases caused the decline in the percentage gross margin, dropping from 24% -- dropping to 24% from 28% in the prior year. Operating expenses were approximately 19% of net sales or $1,176,000 compared to 20% of net sales or approximately $1,052,000 for the same period in the prior year. 
 Net income for the quarter was $227,000 or $0.00 per share compared to a net income of $329,000 or $0.00 per share in the prior year first quarter. Adjusted EBITDA for the 3 months ended September 30, 2021 was $398,000 compared to $494,000 in the prior year period. 
 We continued to increase the quantity of products owned by our contractor in Mexico, and it's now running at 25% to 30% of all our own products. Cash and cash equivalents on September 30, 2021 totaled $961,000 compared to $977,000 at June 30 of this year, and working capital increased from 435,000 at June 30, 2021, to $705,000 at the end of the first quarter. 
 Now I'd like to turn the call back to Louis for some additional comments regarding current developments. Louis? 
Louis Friedman: Thank you, Ron. Overall, I'm pleased with the first quarter results. Although cost increases for raw materials, labor and transportation has impacted our gross profit margins, we are beginning to see some stabilization and retraction in our raw material costs. As we seek out new suppliers, procure additional surplus materials and expand our selling operation in Mexico to over 30 employees, our consumer wholesale price increases should start to restore our margins to historical levels. 
 Our diverse offering of consumer products continues to attract new and repeated customers. And as a result, I expect to see continued strong demand across our 3 major brands as we approach the holiday season. Regarding the holiday season, our inventory is well stocked. I expect net sales to be between $6.4 million and $6.6 million in the current quarter ending December 31, 2021. This represents a 15% year-over-year growth at the midpoint. 
 As for new products, our children's playscape collection is selling aggressively pre-holiday. Sales of our recently launched modular headboard concept, called the Panelist, continues to grow as we add new channels of distribution. Beyond the holiday season, our outdoor product line has been -- is redesigned and has new collections currently being sold to hospitality, marine and specialty retailers and e-tailers.
 Our Atlanta manufacturing facility allows us to continue to execute within a challenging supply chain environment, utilizing a comprehensive lean approach to manufacturing. We also have a goal in finding new uses for sustainable materials. The more Liberator products that we produce and sell, the more foam trend becomes available to repurpose into Panelist headboards and bean bag micro cushions. 
 We remained focused on executing against our key growth strategies to drive long-term value for shareholders. We appreciate the recent strong support we have received from shareholders and look forward to keeping you updated on our progress and developments as we finish our second quarter. 
 This wraps up our formal presentation. And operator, we're now open for a call for Q&A. And after Q&A, we'll have some closing comments. 
Operator: [Operator Instructions] Our first question from the phone lines today is coming from Brian Robson, a private investor. Your line is live. You may begin. 
Unknown Attendee: Congratulations on the quarter. As I look at your business, you've continued to have strong sales growth. You spoke of a couple of things from the more recent quarter in terms of the roll-compression machine as well as fabric cutting machine, and how that's increased your throughput. 
 You've had success on some of your new product lines as well. And it seems like the real challenge is just getting your margin lifted a bit. And you spoke about, in your press release, some of the efforts to do price increases, and you also talked about perhaps a return to more normal levels. As you look both in the near term and the longer term, what sort of a margin specifically are we talking about? 
Ronald Scott: So we're -- we've always been shooting for margins -- blended margins in the low 30s. So now we are -- last quarter, we were at 24%. We'd like to get back to 28% as soon as possible. And with some of this new equipment, hopefully, we can get to 32%, 33%, which is really our goal. 
Unknown Attendee: And so even like at a level such as 28%, that would have a significant impact. Is that something that you see as achievable in the next 6 months? 
Ronald Scott: Yes, we do. 
Unknown Attendee: Okay. And then you spoke of your, I guess, guided revenue growth of roughly 15%. Where do your open orders stand today? And as the holiday rush is getting upon us, what kind of early indicators have you seen as far as how things are looking on that end? 
Ronald Scott: Well, through -- we're -- today, we're roughly halfway through the second quarter and revenue at this point is on track with that guidance. I think we're up 15% year-over-year for the first half of the second quarter. Open orders, that changes every day, but it's... 
Louis Friedman: $800,000. 
Ronald Scott: Yes, $800,000. So we're running about $800,000 this morning. 
Unknown Attendee: Okay. 
Ronald Scott: And that's kind of where it's been consistently through this quarter. So we expect to see same results through this month and prior to December 20, when it's kind of our last shipping day for Christmas. 
Unknown Attendee: Okay. And I guess, as I look at your EBITDA and in terms of what I'd model, you're -- I get something just over $2 million a year, which means that -- and I think your market cap is probably fluctuating around $15 million or $16 million, so roughly an 8x multiple. 
 You still -- though there's been more shareholder interest, you're still in somewhat of an obscure place, and I just wondered if you have any thoughts or interests or exploring the possibility of uplifting. 
Ronald Scott: Yes. We've had ongoing discussions about that. We don't have anything in the works currently to do [indiscernible]. 
 I think we'll probably revisit that in 3 to 6 to 9 months. But yes, that's certainly our goal, to be listed at NASDAQ as soon as we can. 
Operator: [Operator Instructions] Our next question today is coming from Russell Valentine, a private investor. 
Unknown Attendee: My question is about uplifting, uplifting to the major stock market. In my past 40, 50 years of investing, it really doesn't pay to uplift unless you have the earnings behind you because then you have to reverse split and things like that to meet requirements. So I hope you don't do that. But is there any way to increase your visibility of your company to be able to get the word out about your products? 
Louis Friedman: Well, it is -- there's lots of ways. Every ad that we do, every e-mail blast that we do, every bit of literature and packaging, all has referenced to the fact that we are a public company. I guess what we really need to do is have an IR firm behind us and get some momentum that way. But for instance, if you open up Rolling Stone magazine, you'd see in our ad, a public company, Luvu Brands. 
 And so we probably circulate to our customer base 3 to 4 times a week in our correspondence with them. There's approximately 100,000 customers in our e-mail list. So we mailed out about 400,000 per week. And on every email correspondence, it always lists the fact that we're a public company, and it's on our websites and so on. 
 So I guess the only other thing we're missing is some good press and that needs to be -- we are expanding our digital agency and we certainly need to do more of that. 
Ronald Scott: We do have a conference that we'll be a virtual conference, we'll be attending early in December, the Sidoti Conference, so that could create some additional exposure. 
Louis Friedman: And when exactly is that, mid-December? 
Ronald Scott: I think it's December 7, 8 or 9. 
Louis Friedman: Okay. So it's coming up, yes. 
Ronald Scott: Coming up, yes. 
Unknown Attendee: I have one more question. In order to meet like 100% of production, are you close to -- I mean how much more in business can we get to 100%? Are you close to 100% capability now? Or how much more increase can you do to meet 100% of production? 
Ronald Scott: You mean in terms of what our capacity is? 
Unknown Attendee: Yes, yes. 
Ronald Scott: We're probably -- I mean if we ran 3 shifts, we could increase almost 3x. 
Louis Friedman: Well, even without 3 shifts, I think we can comfortably ship, I guess, 200,000 a day comfortably on one shift. We're in a building 140,000 square feet, and as we grow our business, we grow our operation in Mexico and we grow our operation here. Our plant is getting tight, but it's certainly manageable. And I guess it depends on which product lines we grow with, some would require more space than others. But I would like to shoot for 200,000 a day out the door, and that would be comfortable on one shift. That would give us about 230 people, I guess, to do that revenue. Today, we should ship at least 160,000 probably in that area, and we do that comfortably. 
Operator: Thank you. We have no further questions over the audio lines at this time. 
Louis Friedman: And I guess there's no written questions. 
Ronald Scott: No. Okay. So... 
Louis Friedman: Okay. Well... 
Operator: Do you have any closing comments you'd like to finish with? 
Louis Friedman: Yes, I do. Thank you, operator. Yes, I thought I'd mention that we are also expanding our product design group and our in-house creative and digital agency. We are obsessed with building brands that add value to people's lives. And for our stakeholders, we believe we're building upon a solid foundation for Luvu Brands' future growth, and we're well positioned to capitalize on our growing markets. 
 Thank you all for your time. We look forward to updating you on further developments at www.luvubrands.com. On behalf of the entire Luvu Brands management team, I want to again thank you for joining us today. 
Operator: Ladies and gentlemen, this concludes today's conference call. You may disconnect from the webcast at this time, and we thank you for your participation.